Operator: Good afternoon, everyone and thank you for participating in today’s conference call to discuss Profire Energy’s Second Quarter 2018 ended June 30, 2018. Joining us today is President and CEO of Profire Energy, Brenton Hatch and CFO, Ryan Oviatt. Before we begin today’s call, I would like to take a moment to read the company’s Safe Harbor statement. Statements made during this call that are not historical are forward-looking statements. This call contains forward-looking statements, including but not limited to statements regarding the company’s future business development activities, expansion into international markets, the release of new products, the expansion into other markets due to the SIL certification that new product certifications will add significant value to the company, additional capabilities of existing products, the potential of international markets and the company’s ability to deliver products to the market faster. All such forward-looking statements are subject to uncertainties and changes in circumstances. Forward-looking statements are not guarantees of future results or performance and involve risks, assumptions and uncertainties that could cause actual events or results to differ materially from the events or results described in or anticipated by the forward-looking statements. Factors that could materially affect such forward-looking statements include certain economic, business, public market and regulatory risks and the factors identified in the company’s periodic reports filed with the Securities and Exchange Commission. All forward-looking statements are made pursuant of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All forward-looking statements are made only as of the date of this release and the company assumes no obligation to update forward-looking statements to reflect subsequent events or circumstances, except as required by law. Readers should not place undue reliance on these forward-looking statements. I would like to remind everyone that this call is being recorded and will be available for replay through August 16, 2018 starting later this evening. It will be accessible via the link provided in yesterday’s press release as well on the company’s website at www.profireenergy.com. Following the remarks by Mr. Hatch and Mr. Oviatt, we will open the call to your questions. As part of the question-and-answer session, Misters Hatch and Oviatt will be joined by Profire Energy’s Chief Business Development Officer, Cameron Tidball and Vice President of Operations, Jay Fugal. Now, I would like to turn the call over to the President and Chief Executive Officer of Profire Energy, Mr. Brenton Hatch.
Brenton Hatch: Thank you very much. Good afternoon, everyone and thank you for your interest in Profire and for joining us on this call. This past quarter, we continued our efforts to establish good customer relationships, improve our products, and expand our reach into international markets. Our overall performance for the quarter represented our second best quarter in terms of revenue in the past 3.5 years. Prior to the quarter ending, we provided an update that we expected revenues between $11 million and $11.2 million. We are pleased to announce that we exceeded these expectations and actually recognized revenues of $11.3 million. Revenues are up nearly 20% from the $9.4 million we recorded in the second quarter of 2017. As you are all aware, the past few years, has been very volatile in the industry. We believe the activity in the oil and gas markets is a result of the stabilization in the industry and the return to seasonal cycles. Historically, the spring and summer months are slower. The difference between the first two quarters reflects this seasonality. However because of the strategic decisions we have talked about before, we are able to show year-over-year growth and are on track to exceed our 2017 performance and achieve historic levels of cash flow and profitability. Net income in the period was down just slightly from the previous quarter and is up over 30% when compared to the same quarter last year and equates to $0.04 per share. While our legacy product sales remain the majority of our business, we are focusing on international growth now more than ever with the implementation of our business development team. We have established a relationship with an international distributor, which resulted in repeated sales this quarter. We have also hosted international groups in our corporate offices to discuss how our product can be used internationally. The business development team remains dedicated to Profire’s strategic growth. As always we maintain our traditional corporate belief and strategies of taking deliberate and strategic actions for growth. We continued to add new capabilities to our existing products and plan soon to release new technologies as adjacent product offerings. Our business development team meets regularly with customers in the field to discuss our products and what we can do to further automate their processes and anticipate their needs. Another core growth focus for us is our commitment to research and development. We were excited to announce in the press release on August 2 that we have received a functional safety or SIL certification on our PF3100 product. This accomplishment opens doors for Profire to enter markets that we previously could not serve. In the coming months we plan to move the updated PF3100 product software into necessary field trials with targeted customers to validate the additional safety capabilities that the product before rolling it out to full scale production. The company’s PF3100 sales force is being expanded to accelerate the speed to market of this updated product, in addition to present market they will be focusing on midstream, downstream, refining and petrochemical application. The additional product certifications and expanded markets allow us to remain an industry leader and position us well for continued growth. With that said, I will now turn the time over to Ryan Oviatt, our CFO to discuss the financial results for the quarter. Ryan?
Ryan Oviatt: Thanks Brent. Yesterday after the market closed we filed our 10-Q with the SEC and discussed the quarter’s highlights in a press release. As always both of those documents are available on the Investor section of our website. The transcript of this call will be posted in the coming days. Let’s begin by looking at the income statement. In the quarter we have recognized $11.3 million in revenue which is a 20% increase from the same period a year ago. This increase is largely attributed to our ability to leverage our expanding customer base. During the downturn, we strategically work to expand our customer base and we are now seeing the fruit of that labor as the overall market has started to stabilize. Oil prices have increased this quarter ranging from an average of $63 per barrel in the first quarter to $68 in the second quarter. We anticipate this stabilization will be reflected in our customers CapEx spending in the coming quarters. With the increase in revenues, our gross profit increased to $5.9 million or 52.1% of total revenue as compared to $5 million or 52.6% of total revenues in the year ago quarter. Gross profit margins fluctuate slightly each quarter due to product mix changes, direct labor costs and adjustments in our inventory and warranty reserves. Total operating expenses were approximately $3.8 million or a 21% increase from the same quarter last year. This increase is primarily due to hiring additional employees and investment in R&D. Operating expenses for general and administrative increased 23%, R&D increased 15% and depreciation decreased slightly as compared to the same year ago quarter. The increase in expenses is primarily due to higher labor costs to meet the increasing customer demand and to retain employees. R&D expenses increased year-over-year to achieve the SIL certification requirement. Total other income during the period was roughly $192,000, the majority of which was attributable to interest on investments and the sale of fixed assets. Our net income was $1.7 million or $0.04 per share compared to net income of $1.3 million or $0.03 per share in the same quarter last year. Net income is up 31% over the same quarter a year ago. Now let’s look at the balance sheet. Cash and liquid investments totaled nearly $21.6 million as compared to $24.3 million at the end of 2017. We were able to maintain more than $21 million in cash and liquid investment despite spending $4 million in purchasing company’s stock. Inventory levels increased to $8.3 million from $6.4 million at the end of 2017. The increase is a result of the industry-wide trend for longer lead times on certain items. Our operations team has worked closely with vendors to ensure timely delivery and eliminate single source items where possible. Our accounts receivable collections remains strong and the balance of accounts over 90 days old with only 4% of total accounts receivable compared to 13% at the end of 2017. We continually seek opportunities that could help further our strategic growth and currently have the resources to make investments that we feel will be beneficial to Profire. Our management team works to allocate spending to meet market demand and to accelerate growth. With that, thanks and I will send it back to you, Brent.
Brenton Hatch: Thanks, Ryan. We have established certain strategies that continue to work for us. Rig counts are up year-over-year, but down quarter-over-quarter, however drilled, but uncompleted wells or DUCs have increased by nearly 1,000 year-over-year and 250 from the previous quarter. The DUCs represent deferred revenue for us as these wells will be completed at some point in the future. Despite these quarterly swings, we believe the industry continues to improve and is positioned for further growth in coming period. Now that we have received the SIL certification, we are beginning to perform field trials with customers to ensure the product is meeting expectations. This accomplishment opens the door and creates the path to entering into downstream refining petrochemical and other more advanced higher spec projects, which requires still. These more advanced projects are typically planned out 6 to 18 months in advance and our business development team is now working with customers to be part of these projects. In addition, to SIL, we recently purchased land near our Canadian office in Alberta, Canada, with the intent to build a facility that will greatly improve the working environment for our research and development team of engineers. We are working closely with architects and our engineers to make a facility that will enhance the product development process and expedite the cycle for bringing our products to market. Our legacy products are performing well and are widely considered the industry standard. The chemical management system continued to generate interest throughout the industry. We are committed to the implementation of the SIL certification and additional product enhancements as we believe this will be a significant revenue driver going forward. In addition, we are looking at merger and acquisition opportunities that will complement our existing product offerings. We have a renewed focus on automation, including the exploration of the Internet of Things capabilities and other technologies that could be used within the market. We remain committed to certain key strategies that have driven our growth over the past years. We have a longstanding principle of remaining debt-free. We continued to maintain a healthy cash reserve. This allows us to react quickly when we need to invest internally or externally to accelerate our growth. At the end of last week, we announced that Harold E. Albert, one of Profire’s founders has resigned from the Board of Directors. Harold retired from his position as CTO in 2017 and resigned in order to address in the state planning and family health concerns. I want to personally thank Harold for his contributions to Profire over the years. Our board’s nominating committee is now reviewing possible replacement candidates and we will make an announcement of any new member selections when the timing is appropriate. Thank you for your interest and investment in Profire. Our entire Profire team has dedicated to our success. We are working to provide superior products that set industry standards for reliability and ease-of-use. We believe our strategies will allow us to grow within our current markets and provide the flexibility to explore opportunities in international markets and the other areas now available to us through the SIL certification. The execution of these strategies will enable continued growth in the coming periods. I want to thank our staff and management teams that work tirelessly to improve this company. We trust they will continue to perform at a high level and meet or exceed our expectations. Thank you. And we will now open up the call to questions. Operator, would you please provide the appropriate instructions, so that we can get the Q&A started.
Operator: Thank you. [Operator Instructions] Our first question today is coming from the line of Rob Brown with Lake Street Capital. Please proceed with your question.
Rob Brown: Hi, thanks for taking my call.
Brenton Hatch: Good morning, Mr. Brown.
Rob Brown: First start with the chemical management business, I know you have had some shipments there, could you give us a sense coming into the field and maybe the cadence of how those can turn into additional reorders of what have we seen in terms of repeat orders in that business line at this point?
Brenton Hatch: Great question. I often defer to our man that is closest to sales, Cameron Tidball and I won’t change that approach today. Cam, could you talk a little bit about that if you would like to if not I will, but go ahead.
Cameron Tidball: Yes, always happy to talk about it. Right now, we have probably got approximately in that 80 to 120 say 100 units in the field. Some have resulted in repeat orders, obviously not to the stats we would like, a lot of our orders have come from midstream companies or companies that are working on smaller applications like H2S, Scavengers kit, Ultra Fab unit, so there is the volume that exists when compared to like Burner Management Systems, where you can – there is quite a few more. With that being said, we have had had some great success there or good success here in Q3 already, where we have seen some repeat orders from some customers which is great to see and we continue to get more trial units out and get more people trying it we have really so that’s a critical part to our strategy is to get people to try, so that we can get it into their budgets for the upcoming quarters.
Rob Brown: Okay, great. Thanks. And then on the international market growth potential there, do you feel like you have all the channel partners in place or are there more channel partners we have put in and what’s maybe broad-brush market opportunity internationally?
Cameron Tidball: Brent, would you like me to answer that one?
Brenton Hatch: Yes, please do.
Cameron Tidball: Sure. Internationally, we have kind of one of our goal this year was to increase that presence of course and we have spoke about it. We left it alone during the downturn we just want to focus on our backyard and ensure that we grew our customer base here in North America, but internationally, we have had some success in the last two quarters, where a partner that we have gotten involved with has put in decent orders that have gone into the MENA region, specifically the Middle East on some ground floor project. We have had some repeat orders there and they look to be a strong channel partner for us in that region. They are connected. They know our business. They understand it. They understand that business. We have also had recently some people from other countries, including China and Argentina visit our corporate facilities, where we believe that there is some opportunity there in their market to do a little bit better. So, I wouldn’t say we have all the channel partners in place. Our goal this year was to get kind of that 3 to 5 strong or potentially strong channel partners in place and so far we are trending to be able to accomplish that goal.
Rob Brown: Great, thank you for the overview. I will turn it over.
Brenton Hatch: Thanks Rob.
Operator: The next question is from the line of Jim McIlree with Chardan Capital. Please proceed with your questions.
Brenton Hatch: Mr. McIlree, how are you.
Jim McIlree: I am well. Thank you. How are you guys?
Brenton Hatch: We are great there as well.
Jim McIlree: I would like to ask about the 3,100 and it sounds like the rest of this year is kind of trial pilot and then since you have such a long sales cycle meaningful contributions if they come would be kind of a second half of next year, is that a reasonable way to look at how the 3,100 kind of rolls out?
Brenton Hatch: Jim I think that’s certainly accurate, especially if we are looking at the downstream – midstream, downstream, refinery, SIL related jobs that we are talking for the 3100 that certainly fits. What we need to remember is that the 3100 does have lots of other applications. And actually we are seeing quite an increase right now on interest in bringing that on in these other arenas where the SIL certification is necessarily – necessary, but whereas it augments the interest in it. But Cam again because of your involvement with this, do you want to address that issue for just a sec?
Cameron Tidball: Yes. You bet. So the 3100 is still we have seen the pipeline continue to strengthen, the number of projects we are doing for a quarter is increasing gradually every quarter. We are seeing some more customers that were long-standing, 2,100 customers make the jump to the 3100, one because it’s newer technology, two because it allows them to automate a few more things on their site that they would like to. We have done some projects released – recently for a large pipeline company in the United States who are standardizing on the Profire 31 across the U.S., everywhere from North Dakota, Colorado and South Texas and West Texas. So we will still continue to increase sales very close to the and even to a degree replacing the 2100, but of course at a higher average sales price. Brent, accurate on the downstream market that is going to take some time and that is going to be a little bit later towards next year where we started to see some of that. We won’t be – I think you mentioned this trial. When we talk trials with the 3100, we don’t really trial the product anymore, but we are trialing the SIL certified software. We are still putting it in places where we can watch it closely and make sure that it’s functioning exactly how we like it to perform.
Brenton Hatch: Thank you.
Jim McIlree: Okay. Thank you for that. And then secondly, Ryan in your remarks and maybe Brent you as well, you talked about seasonality and prices stabilizing, I forget the exact adjectives and nouns you are using, but it kind of sounded like you wanted us to be cautious in how we are thinking about growth going forward that and maybe I am reading into it too much, but it kind of sounds like you want us to recognize that that we have seen a big part of the recovery and so now you need the new products or you need a further increase in oil prices or activity in order to get a presumption of at a high growth rate, am I reading too much into it or is that what you are trying to get out?
Brenton Hatch: Well, I would say perhaps Jim you are reading a little bit into it that isn’t there. We are always cautious as you know we are trying to be a very – take a conservative approach to giving any kind of guidance. We have noticed traditionally over the years and this goes back decade and a half or so that typically summer months tend to be a bit flattish in terms of getting things done. We don’t feel that that there is ever really – a lot of dynamic growth, except occasionally when we are coming out of the downturn we did see some things happen. Now, having said that, we have seen it, nice increase in interest in our products and in our pipeline for coming towards the end of the year as we have projected all year long that we would be somewhat flattish at the beginning, but towards the end we would see some renewed bigger in the markets. And we are seeing that, the request for quotes, the pipeline of projects as Cam alluded to even with the 3100 seems to be strengthening. And so I don’t think there is a reason for negativity. At this point we do think we will have a very good year still that this year-over-year is going to be very positive for us. Cam perhaps you might add something to that or Ryan, Ryan first why don’t you…?
Ryan Oviatt: Yes. Certainly, I think you hit it very well and the other point I would add there is that we have seen some good stabilization in prices. We have seen an up-tick in the last quarter in the oil price, but also remember that it typically takes time for that uptick in prices to flow through our customers into their CapEx budgets and then even into our revenue stream. So, there is some seasonality associated with even those fluctuations in prices and therefore what we are saying that we do expect that in the next couple of quarters that flow-through should happen and that we should see some additional improvement there, but yes we are always hopeful for higher prices and that, that will have a very positive impact on us going forward in the industry as well.
Brenton Hatch: Cam, any additional comments on that?
Cameron Tidball: Jim doesn’t want to hear from me, because he has golfed with me before.
Jim McIlree: Okay, thank you. That was great. I got it. Thanks a lot guys.
Brenton Hatch: Thank you, Jim.
Operator: The next question comes from the line of John White with ROTH Capital. Please proceed with your question.
Brenton Hatch: Hi, John.
John White: Good morning, gentlemen. How are you? I bet you are. Another quarter with nice net income, positive earnings per share. On the international sales, have all the sales been to the Middle East and if so do you want to say what country?
Brenton Hatch: Cameron?
Cameron Tidball: To the partner that we have been working with, yes, all of their sales they have all gone into Saudi Arabia and through some of their partners they are in direct with Saudi Aramco which is great, very difficult to get into that world of sales. We have also sold the product into other countries but through that distributors specifically that they have all gone into Saudi Aramco?
Brenton Hatch: And I think that’s a good point to make though, Cam that we do continue to make sales into other countries, but it’s often through the customers that we have – that we work with here in North America that they take them under projects abroad. But we do have some products continually going two other countries it’s just that we are trying to strengthen the direct association with distribution units there.
Cameron Tidball: There is probably not a week or a month that goes by where we don’t spend international product, because our product is everywhere, but yes Brent, we are just trying to officialiaze it, if that’s a word more fully.
John White: Okay, thank you for that. And on the initial sales of the 3100, can you comment, are a lot of those customers for the 3100 previously been customers for the 2100?
Brenton Hatch: Cameron?
Cameron Tidball: It’s a combination of both. Some of them for example like an EQT, the longstanding customer with Profire for years, now that we have 3100 and it’s 4-strap capabilities, they are able to move that over to other computers that they have and so they have just kind of expanded what they do with Profire. EQT is another good example. Chevron, they used multi-piloted combustors, which 2100 could do the single-piloted combustors, but the 3100 takes over here. So, we have that which is great expanding our stickiness with customers and are on our share with them, but we are also bringing on new customers that we have never had before that though it’s the nice balance actually right now.
John White: That is good. With the product applications out as you and I have discussed previously you don’t need entirely new sales channel for the 3100, you can utilize your existing 2100 to a large extent?
Cameron Tidball: Correct, yes.
John White: Thanks very much.
Cameron Tidball: That’s a good point though. Just before you leave, John, we are working in addition to using the existing sales force that we have – we are working on establishing new sales vertical just for the 3100 particularly to focus further downstream and on these sale related jobs, but we think that the combination of the two of them will make us very effective in taking this to market.
John White: Thanks again and I appreciate it.
Brenton Hatch: Thank you, John.
Cameron Tidball: Thanks, John.
Operator: Our next question comes from the line of Patrick Murphy with Maxim Group. Please proceed with your question.
Brenton Hatch: Hello, Patrick Murphy.
Patrick Murphy: Hey, guys. How is it going?
Brenton Hatch: It’s good.
Patrick Murphy: So on the M&A front, are you guys looking primarily at opportunities within the U.S. or are you looking internationally as well as sort of a way to increase that expansion you are talking about?
Brenton Hatch: To answer the question directly, we are looking now presently at the North American market. And we are actually quite active in this as this is not just a casual if it happens it will happen. We are quite serious about doing some, but on the other side of it being as conservative as we are, we aren’t taking just any opportunity that is there. We are looking for some adjacency in terms of dealing with where we are strongest right now and that is in the upstream. But we definitely on a very regular basis are assessing and praising other companies and we feel like we are making some strong moves in that direction. But at the present time we are North American based.
Cameron Tidball: But that’s not to say that those opportunities wouldn’t potentially have a presence or some international exposure as well.
Patrick Murphy: Okay, thanks. That’s helpful. With the hiring in the sales force for the 3100, how is that looking, is that be gone already, is that expected to continue through the back half of the year?
Brenton Hatch: Yes. And yes, it has begun and we are just days away I guess from we have made some offers to a person and we have yet another person in mind in these coming weeks and month or so that we could add to the team. So we would hope to have a strong team of at least three people ready in two – and active in this next month or two. Does that fit, Cam with where you are at right now?
Cameron Tidball: Yes. Definitely, we have started the recruiting process as early as six, seven month ago. We don’t feel that we can bring this person from within. We wanted to have someone that could hit the ground running and of course we wanted to get some of these approvals in place, some product development in place, some more installation under our belt, so yes in the next this quarter and next quarter that team, it will grow.
Brenton Hatch: Thank you.
Patrick Murphy: Okay, great. And just one final one. With the EIA slight reduction in U.S. oil production for 2018 and 2019, do you believe you still have any impact at all on your business and how you view the market in general?
Brenton Hatch: Alright. Cam, you are a busy man today. Again, you are a little closer to it than the rest of it, but your perceptions on that one.
Cameron Tidball: Well, so yes – they are in my opinion they are little more stable with the predictions and everyone else they don’t change with every bit of wins, but they do still follow the wins a little bit. Yes. There is definitely the opportunity or the transmittal effect. The great thing that co-fires is to look at quarter-over-quarter we still increase our customer base. In fact our last two quarters have been very strong in additional revenue from brand new customers and so there is as much as Profire is dominant player. There are still customers to go and get. And so yes will there be some impact to us from the Permian pipeline, yes for sure there will be. Will there be some impacts for the changing of mega-pad drills, there will be. However, our belief and our strategies we can continue to add more revenue with customers of that. Yes, we might have less CMS growing per pad, however we are getting more pads since we have more customers, so that will continue. So there is definitely a balancing act there. And I think that there will be impacts, but I think there is still so much market share that we will grab that we should be able to negate those.
Brenton Hatch: Thanks Cam. Thanks Patrick.
Patrick Murphy: Thank you, guys.
Brenton Hatch: Thank you.
Operator: [Operator Instructions] The next question is from the line of Arieh Coll with Coll Capital. Please proceed with your question.
Arieh Coll: Hello. Good afternoon gentlemen. I hope you are finding some time to enjoy the summer as well as working?
Brenton Hatch: That’s next week.
Arieh Coll: So, two geographic questions. First one on Canada as you know the Canadian business is highly seasonal and after a slowdown in the March quarter historically sales do have material step up in the June quarter, which did not happen this year. I am just kind of curious of any sort of explanation for why the step up in quarterly sales didn’t materialize here in June and we would expect the step up to, I guess, happen here in September quarter there?
Brenton Hatch: Yes, Canada has been a bit of an interesting place. They have been dealing with some transportation issues that are fairly significant and it has impacted the sales certainly in the oil and gas area, but Cam, being a Canadian resident, why don’t you address this from your side of the fence?
Cameron Tidball: Well, I don’t believe Prime Minister Trudeau is on the call. So, I can be a little more free with what I say, but anyway, so you are exactly, Arieh, we normally would see that jump up. We haven’t, the explanation Brent gave is very accurate. We also have – there has been a shrinkage in terms of investment in Canada. There has been shrinkage in the number of instrumentation electrical companies that are getting burner work as per se, project work as it lumped a little bit. The good news is that all indications shows especially in the heavy oil sector, where Profire really got its start that Northern Bakken, we are expecting things to ramp up in the last two quarters. We won’t go back to historical levels, but we should be very nice in Q3 and Q4 as compared to Q1 and Q2.
Arieh Coll: Got it. Driven by the heavy oil customer base?
Cameron Tidball: Yes. We believe the heavy oil at the Montney shale, they will get a little bit busier here. A lot of them have just from spring breakup was odd this year, because it really wasn’t whether spring break was up, was actually quite short this year, because the weather fluctuation wasn’t as great as it normally is here in the frozen tundra, but basically we heard from customers, E&Ps telling their service groups take vacation and we have never heard that before, but they are basically saying we are going to be slow to take vacation, but they are definitely seeing the trucks are rolling, you are starting to see rigs moving, you are starting to see the normal activity you would like to see. And so we believe that this Q3 and Q4 will be better than Q1 and Q2.
Arieh Coll: Okay, great. Thank you. And then shifting over to the U.S. business as you mentioned, you don’t know the exact correlation, but historically if oil prices rise that obviously provides more profits and money in the pockets of your customer base, which leads to hopefully dynamic sales growth of Profire. Nevertheless, your sales geographically in the U.S. did step down here in June versus March and I was just kind of curious to what degree you are encouraged to just the background tailwinds of these higher number of DUCs and increasing CapEx, because of higher oil prices should be able to drive renewal in your sequential sales here in the U.S.?
Cameron Tidball: We are quite encouraged. As Ryan said earlier, Arieh, there isn’t an immediate response when oil prices go up, we don’t immediately see our sales go up as usually as 6 to 9 months lag. So one of the things that I believe we addressed on the last call was the fact that the E&Ps this year projected in a large meeting we attended in November that this year would be a year that they worked on improving their balance sheets, on paying off debt, I am focusing on internally on some different kinds of issues and the CapEx spend wouldn’t be as significant this year, because of that as it traditionally has been or it might be in the future and we have seen that very thing play out. We saw one of our large customers in Colorado for example that spent spend their entire year’s budget, the first quarter which was really nice for us in the first quarter, but it leaves things a little slow for the balance of the year. We expect to see fingers crossed, expect to see the CapEx spending will start to become more of a focus next year. And of course we are the beneficiaries of the CapEx spend. So, we think that this has been a year that’s been good for us, will be very good for us, but won’t be our most stellar year ever, but we think that for the future, things will indeed keep moving our direction. Ryan, do you have any comments from your financial table?
Ryan Oviatt: I would fully agree with what you said there. I think having the E&P companies doing some of those other things and focusing on data and focusing on their balance sheets, although it may not help us today or help us in the short-term, it will help them in the long-term and prepare them to be stronger and able to invest more in the future. So, it’s great news for us in the medium and longer term that those companies are more stable and are able to do more down the road. And as Brent said, we certainly have seen a lot of that coming out of their Q1 and Q2 calls and releases, that that’s what they have been doing. Many are focusing on debt reduction, share buybacks and additional dividends to customers, but again we believe that there still will be opportunity for them to expand CapEx somewhat this year, but even more in the coming years.
Arieh Coll: Okay. Just a follow-up on the international side, congratulations on the Saudi deal. The irony of it is not a lot of work was required on your part basically the customer found you, which is a testament to the reputation of the quality of your products. My question is how far along that you are in kind of formalizing the process of creating some more substantial distribution efforts or representatives overseas, so that more of these Saudi type deals might become more common in the future. And then part two on the Saudi deal, will you expect them to remain buyers of reasonable amount going forward here or are they kind of bought enough volumes, so maybe they will be spending the next year kind of installing meters and have no need to come back for reorders?
Brenton Hatch: Cameron?
Cameron Tidball: I think question two first, if that’s okay, because that’s the one I really remember, but the Saudi deal, we believe that it is ongoing project that is based on drilling are hoping, what we are hearing from our partner is that they plan to expand into Kuwait as well and so based on drilling programs that exist there that numbers could be very healthy for Profire. In terms of how they found us, it was kind of interesting, because we were working with them on another project. We are in their warehouse out there actually and we saw that opportunity that they were working and ask them questions, and they immediately took to what we are talking to them about, puts them on in a way they went. We have done some customization work on some of our other manufactured items such as our inline pilot, which they used and they have had great success there. So, I think I answered your question too, Arieh. Do you have a follow-up where what I missed on number one?
Arieh Coll: Yes, sure. I will repeat it quickly. What efforts you are making just to formalize relationships oversees which have numerous distributors in various countries, but hopefully, Saudi sales can be achieved in other countries as well?
Brenton Hatch: Great. So, big thing that we are trying to do is as always it’s to quantify the market. We know that in the Middle East, for example, there is not a lot of heated equipment in terms of like treaters, combustors like Profire traditional business. We know there is a lot of ground and so we thought well, we have got to find a partner that can do that. As I mentioned earlier, we have had some delegations from companies, even from government officials from China that they were here in that they have been both to our Utah facility and our Alberta facility. We have met with them taking them to plants etcetera. But I actually will be speaking at an upstream forum in November where this company that we plan to work with there, plans to be the VOC expert, the fugitive emissions expert of China. They already are – over half of the refineries which are in China doing leak protection work and other services. So, we believe they are a nice partner for us. The upstream business in China is new. It’s going to be new for them. So, we believe it will be a longer process, but we hope to do that one. Again, quantifying market, so we are still trying to decide what are the best markets to focus time, effort and resources on. We do have sales leader who is heading that up with me what Canada has been a little bit slow, we have our sales leaders here who is driving that initiative and as soon as it makes sense we will expand that to you.
Arieh Coll: Great, thank you. Best of luck.
Brenton Hatch: Thank you, Arieh.
Operator: Thank you. At this time that concludes our question-and-answer session. I would now like to turn the call back over to Mr. Hatch. Mr. Hatch, please proceed.
Brenton Hatch: Thanks so much, Rob. Thanks everyone for joining us today on our call to discuss the results of the second quarter of 2018. We would like to thank you all for your continued support of Profire. We are available of course as always for any of you to discuss any questions you may have. Please reach out to us. Thank you all and have a great day.